Operator: Welcome, and thank you, for standing by. I would like to inform all participants that your lines have been placed on a listen only mode until the question-and-answer session of today's call. Today's conference is being recorded. If anyone has any objections, you may disconnect at this time.  I would now like to turn the call over to Whit Kincaid. Thank you. You may begin.
Whit Kincaid: Good morning, everyone. Thank you for joining us on Mueller Water Products First Quarter Conference Call. Yesterday afternoon, we issued our press release reporting results of operations for the quarter ended December 31, 2023. A copy of the press release is available on our Web site muellerwaterproducts.com. I’m joined this morning by Martie Zakas, our Chief Executive Officer; and Steve Heinrichs, our Chief Financial Officer and Chief Legal Officer. Following our prepared remarks, we will address questions related to the information covered on the call. As a reminder, please keep to one question and a follow-up and then return to the queue. This morning's call is being recorded and webcast live on the Internet. We have also posted slides on our Web site to accompany today's discussion. They also address forward-looking statements and our non-GAAP disclosure requirements. At this time, please refer to Slide 2. This slide identifies non-GAAP financial measures referenced in our press release on our slides and on this call. It discloses the reasons why we believe that these measures provide useful information to investors. Reconciliations between non-GAAP and GAAP financial measures are included in the supplemental information within our press release and on our Web site. Slide 3 addresses forward-looking statements made on this call. This slide includes cautionary information identifying important factors that could cause actual results to differ materially from those included in forward-looking statements. Please review Slides 2 and 3 in their entirety. During this call, all references to a specific year or quarter unless specified otherwise refer to our fiscal year, which ends the 30th of September. A replay of this morning's call will be available for 30 days at 1-888-566-0411. The archived webcasts and corresponding slides will be available for at least 90 days on the Investor Relations section of our Web site. I'll now turn the call over to Martie.
Martie Zakas: Thanks, Whit. Good morning, everyone. Thank you for joining our earnings call today. I’ll start with a brief overview of our first quarter performance. We delivered a solid start to the year as we expanded margins versus the prior year quarter despite the expected decrease in net sales. First quarter net sales, which exceeded the high end of our previously announced expectations, were down year-over-year as we lapped strong sales in the prior year, which benefited from elevated backlog, mainly for iron gate valves and hydrants. Additionally, we believe that channel and customer inventory levels were largely normalized by the end of our first quarter. Our municipal end market remains resilient and the new residential construction end market appears to be stabilizing relative to a challenging 2023. Our operating and corporate teams worked tirelessly to recover from the cybersecurity incident announced in October 2023. We believe that there was a small impact to net sales, mainly associated with the timing of shipments for some specialty valve products. Our first quarter results have been adjusted for the costs we incurred relating to the incidents. Going forward, we have made and expect to make further investments to strengthen our cybersecurity resources and processes, which are reflected in our annual SG&A guidance. I am grateful to our teams who worked tirelessly to support our customers and helped quickly return our business to normal operations. I am also grateful to our customers and vendors who likewise supported us during the aftermath of the incident. Our ability to expand gross margins despite lower volumes and the challenges associated with the cybersecurity incident reflects our improved execution and agility. The team's focus on customer service and driving operational and supply chain efficiencies led to a 410 basis point improvement in gross margin compared with the prior year. During the first quarter, we benefited from labor and material efficiencies along with lower freight costs. We also benefited from price realization, which once again more than offset inflationary pressures. We generated strong operating cash flow in our first quarter, reflecting our improved execution and some benefit from the timing of payables resulting from delays caused by the cybersecurity incident. Our initial fiscal 2024 adjusted EBITDA guidance reflects higher margins despite a forecasted decrease in net sales versus the prior year. Our improving operational and commercial performance leads to our expectation that our consolidated gross margins will improve relative to the prior year, even though we face lower volumes, resulting from lapping the elevated short cycle backlog mainly for iron gate valves and hydrants. We expect gross margin to continue to benefit from operational and supply chain efficiencies, which will help offset the headwinds from expected lower volumes. With price increases recently announced for the majority of our iron, specialty and gas products, we anticipate that price realization will continue to more than cover ongoing inflationary pressures, including higher labor rates. Our teams remain focused on delivering the benefits from our strategic capital investments in specialty and large gate valves and service brass products. These products are poised to benefit from the increased federal infrastructure funding beyond fiscal 2024. I am proud of our brass foundry operations teams as they continue to sequentially improve operations in the new foundry, which utilizes state-of-the-art equipment and a new sustainable lead free alloy. We continue to ramp up volumes at our new brass foundry as we look to return to normalized lead times for all of our service brass products. We continue to target to have it running full steam by the end of calendar 2024. The external environment remains uncertain, especially considering the ongoing Israel Hamas war. As a reminder, we have operations in Israel through our Krausz repair products business, which accounts for less than 10% of our consolidated sales. This did not have a material impact on our first quarter results due to our strategic level of finished goods inventory for our Krausz repair products. However, we expect to see higher manufacturing and freight costs resulting from the war starting in our second quarter. We have made incremental operational investments at Krausz to help ensure we meet customer demand. These include labor and supply chain investments to return to normalized production levels. These costs will be a headwind to our margins in fiscal 2024 as production levels ramp up. Our team in Israel has done a remarkable job adapting to the impacts of the war and we will continue to support them in our business as the situation evolves. Overall, I am very pleased with our start to the year, especially considering the headwinds our teams faced during the quarter. We are on track to improve our gross margin for a second consecutive year despite expected lower overall volumes. Our performance is a testament to the operational investments and improvements we've made over the past year as we look to deliver more consistent execution and further strengthen our customer service to drive future sales and margin growth. With that, I'll turn it over to Steve.
Steve Heinrichs: Thanks, Martie, and good morning, everyone. For the quarter, our consolidated net sales were $256.4 million, a decrease of 18.6% compared with the prior year. Although, we exceeded our top-line guidance, net sales primarily decreased due to lower volumes at both Water Flow Solutions and Water Management Solutions, which were partially offset by higher pricing across most product lines. As a reminder, our iron gate valve and hydrant sales in the prior year quarter benefited from serving an elevated backlog. The backlog at quarter end for these products was down more than 80% versus the prior year. In the first quarter, gross profit of $86.3 million decreased 7.4% compared with the prior year. Gross margin of 33.7% increased 410 basis points compared with the prior year and reflects our highest quarterly gross margin in over two years. Benefits from higher pricing and improved manufacturing performance more than offset lower volumes. This includes improved labor, material and freight efficiencies. For the quarter, total SG&A expenses of $56.9 million were $6 million lower than the prior year. Compared with the prior year, the decrease was primarily driven by lower personnel related and incentive costs and reduced third party fees, partially offset by inflationary pressures and unfavorable foreign exchange expense. Operating income of $22.8 million decreased 32.9% in the quarter compared with the prior year. Operating income includes strategic reorganization and other charges of $6.6 million in the quarter, which have been excluded from adjusted results. This includes approximately $1.5 million of non-recurring expenses associated with the cybersecurity incidents, which Martie referenced earlier. This amount includes the expected benefit of insurance recoveries. Turning now to our consolidated non-GAAP results for the quarter. Adjusted operating income of $29.4 million decreased 3% compared with the prior year. The benefits from higher pricing, favorable manufacturing performance and lower SG&A expenses were more than set by the decrease in volumes. Our adjusted operating margin improved 190 basis points to 11.5% compared with the prior year despite the lower volumes. Adjusted EBITDA of $44.8 million increased 1.4% in the quarter. Despite the expected lower volumes, our adjusted EBITDA margin improved 350 basis points to 17.5%. For the last 12 months, adjusted EBITDA was $202.7 million or 16.7% of net sales, a 190 basis point improvement compared with the prior 12 month period. Net interest expense for the quarter declined $400,000 to $3.3 million compared with the prior year, primarily as a result of higher interest income. For the quarter, our effective tax rate was 15.4% as compared with 23.5% for the prior year. The lower income tax rate in the quarter was primarily due to a $1.6 million income tax benefit associated with the expiration of an uncertain tax position that expired on December 31, 2023. This tax benefit was offset by the release of a $1.6 million indemnification receivable in other expense. For the quarter, adjusted net income per diluted share of $0.13 was flat compared with the prior year. Turning now to quarterly segment performance, starting with Water Flow Solutions. Net sales of $141.3 million decreased 14.7% compared with the prior year. Lower volumes, mainly for iron gate and specialty valves, were partially offset by higher pricing across most of the segments’ product lines. Net sales for iron gate valves were down double digits compared with the prior year, primarily due to normalized lead times. As a reminder, iron gate valve sales in the prior year quarter have benefited from serving elevated backlog. Specialty valves were also down double digits compared with the prior year, primarily due to production challenges, which were mainly caused by disruptions and delays related to the cybersecurity incident. Despite lower net sales, adjusted operating income of $27.4 million increased 13.2% in the quarter. The benefits from higher pricing, favorable manufacturing performance and lower SG&A expenses more than offset lower volumes. Adjusted EBITDA of $36.7 million increased 15% and adjusted EBITDA margin also improved 670 basis points to 26%. Turning to quarterly results for Water Management Solutions. Net sales of $115.1 million decreased 22.9% compared with the prior year. Lower volumes, mainly in hydrants and water applications, were partially offset by higher pricing across most of the segments’ product lines. Net sales for hydrants were down double digits compared with the prior year, primarily due to normalized lead times, which, as a reminder, had benefited from serving an elevated backlog in the prior year quarter. Adjusted operating income of $15.1 million decreased 23% in the quarter. Benefits from higher pricing, favorable manufacturing performance and lower SG&A expenses were more than offset by the lower volumes. Adjusted EBITDA of $22.1 million decreased 16.9%. However, adjusted EBITDA margin improved to 140 basis points to 19.2%. Moving on to cash flow, net cash provided by operating activities for the quarter was $67.9 million, an increase of $74.4 million compared with the prior year. This was primarily due to improvements in working capital compared with the prior year. This included a smaller increase in inventories, higher receivables collections and an increase in payables largely related to delays caused by the cybersecurity incident. We expect the benefits from the increase in payables to reverse in the second quarter as those processes have normalized. During the quarter, we invested $5.7 million in capital expenditures, which is $4.2 million lower than the prior year quarter. The decrease was primarily due to the timing of spending on our new brass foundry in the prior year and some short term delays related to the cybersecurity incident. Our free cash flow for the quarter increased $78.6 million to $62.2 million compared with the prior year, driven by higher cash from operations and lower capital spending. At the end of the first quarter, our total debt outstanding was $447.4 million and we had cash and cash equivalents of $216.7 million. Our net debt leverage ratio was 1.1 times at quarter end. As a reminder, we currently have no debt financing maturities before June 2029. We did not have any borrowings under our ABL agreement at quarter end nor did we borrow any amounts under our ABL during the quarter. I will now review our outlook for fiscal 2024. We are slightly improving our expectations for consolidated net sales. We now anticipate net sales to decrease between 2% and 6% at fiscal 2024 as compared with the prior year. This takes into account our first quarter performance and recent pricing actions. As a reminder, we still expect year-over-year volume headwinds related to lapping the elevated short cycle backlog, mainly for iron gate valves and hydrants, which decreased by nearly 90% in fiscal 2023. In addition to updating our net sales growth expectations, we are now providing initial guidance for fiscal 2024 adjusted EBITDA. Despite lower forecasted volumes, we anticipate that our adjusted EBITDA will increase between 3% and 7% compared with the prior year. Additionally, we expect our free cash flow as a percentage of adjusted net income to be more than 65% for fiscal 2024 as compared with 62.7% in fiscal 2023. With that, I'll turn it back to Martie for closing comments.
Martie Zakas: Thanks, Steve. I want to highlight a few key items before opening it up for Q&A. Mueller plays a critical role in helping our customers deliver clean, safe drinking water to hundreds of millions of people. We wouldn't be where we are today without our dedicated team members, customers and suppliers. Despite the external challenges we have faced, we remain focused on delivering value to our customers, while also driving further efficiencies in our operations and supply chain. We continue to ramp up the new brass foundry and are committed to meeting our goal of having it running full steam by the end of calendar 2024. Mueller has been a trusted partner for water utilities for over a century. Our broad portfolio of products and solutions allows us to play a critical role in addressing the challenges and opportunities facing the water infrastructure industry. The municipal water end market is poised to benefit from increased attention and investment towards addressing the aging water infrastructure. Our products, solutions and large capital projects position us to benefit from the infrastructure bill once funds begin to flow. With a solid start to the year, we are at an inflection point with our strategic investments and operational improvements that will expand margins. I am confident that the actions we are taking to execute our strategy will position us to deliver long term sustainable organic growth and margin improvements. That concludes my comments. Operator, please open this call for questions.
Operator: [Operator Instructions] Our first question comes from Deane Dray with RBC Capital Markets.
Deane Dray: Martie, you mentioned the new foundry progressing nicely. I'd love to get some more details there. The certification process, how many shifts are you running now and the expectation through the year? And what does that mean for outsourcing that you had to do while this ramp up was happening? So give us a sense there.
Martie Zakas: So overall, I think in terms of looking at where we are with respect to the new brass foundry, we are pleased with the continued ramp up that we were seeing there. I think, importantly, I want to hit the point that we have -- we're continuing to run the old brass foundry. And just as a quick reminder, part of the reason for that is we want to continue to bring down the backlog that we have with the service brass products that we have and continue to meet the customer demand. But with respect to the new foundry, we are continuing to make improvements with the production level. We do have a couple of shifts that are running. In that facility right now, we have some additional pouring equipment, part of the capital expenditures that we will still need to complete this year as well. And as we said, we expect to have it fully ramped up by the end of our calendar 2024. The new foundry will have higher capacity than the old foundry as well as greater efficiencies than our old with respect to our old foundry. We'll remind you as well that the brass foundry not only supplies our service brass products but it also is a source of supplying components for our iron gate valves as well as our fire hydrants. So as part of this, I know we've talked about the outsourcing that we've done and as we are continuing to ramp up that foundry, it will also allow us to reduce some of the outsourcing that we have been doing.
Deane Dray: Has that outsourcing reduction started, just kind of -- is it maybe a percent versus last year?
Martie Zakas: So absolutely, the outsourcing is coming down. It's one of the benefits that we have seen contributing to the gross margin improvement. And yes, I would say that outsourcing is probably down over somewhere, let's say, in the range of 50% to 60%.
Deane Dray: And second question, it was really interesting to hear about some of the resi business stabilizing and that's consistent with what we're seeing on housing overall. And you're more exposed to these larger neighborhood development projects, and the supply looks pretty good there. So to the extent that you can kind of size for us where that stands, what the timing is in terms of the development of those properties that you're seeing today?
Martie Zakas: So look, overall, in the guidance that we've given, we think the muni market has been fairly resilient. No question 2023 was a challenging year for the residential construction market, as well as land development and that certainly is reflecting the increase in interest rates and consequently, the mortgage rates as well, which have contributed to that. So we do think that after a challenging 2023 where you saw housing starts about 9% in the last 12 months, we think we could start seeing some normalization as the single family housing starts had been a little bit higher over the last couple of quarters. We do think that some of the homebuilders are benefiting from the inventories of developed lots that you talk about. But as we looked at the land development, we think there could still be some lingering headwinds there, certainly as they are continuing to face the higher interest rates as they consider their funding, as well as permitting challenges as well. Certainly, looking at the residential construction as well, looking across the US, I would say, you know, certainly, not all regions are equal. And we may see stronger activity in some as opposed to others. But overall, as we look to 2024, we think resi construction will be a little bit more of a headwind for us, but we could see some improvements as we look beyond 2025. But I think certainly where interest rates ultimately go will also be an influencing factor on that.
Deane Dray: Terriffic. And it's not a question, just a comment, a shout out to Steve and the team, that was fabulous free cash flow generation this quarter. Thanks.
Operator: Our next question comes from Mike Halloran with Baird.
Unidentified Analyst: Good morning, everybody. Pez on for Mike. I want to go back to the outsourced brass. Obviously, healthy margin outperformance in the quarter. Can you maybe talk about how much of the reduction in outsourced brass was maybe a surprise and you know how much that's tracking versus expectations? I know you talked about the foundry timing being unchanged, but maybe it feels like a little bit of positive surprise in the quarter and maybe how you're thinking about that trending versus expectations we talked about back in November?
Martie Zakas: So I think, let me see if I can overall hit that. I would say, I wouldn't use the word surprised in terms of looking at where we are. I think as we have identified the areas that we know that we can make improvements, I think certainly as the execution and the teams that we have on the supply chain side, as well as I'll say broadly there are certainly less disruptions in the supply chain than we've seen as we look over the last couple of years. But I think with respect to benefits that we've had from a performance, we have been just effective in improving our sourcing overall, which has contributed to that. And over time it's allowed us, as we said, to bring back some of the outsourcing that we've done, bring back in house, which has certainly helped as well. I think the other piece, certainly, in looking at the margin improvements that we have had, even though volumes were lower overall, the manufacturing performance. We have continued to see improvements there and efficiencies that have also helped. So I would say, it's been a few things that we've seen. Certainly, we've had higher inflation, particularly with respect, I'd say, particularly on the labor side. But I would say, it's largely due to performance improvements with the achievements we've had from our operations team, as well as our supply chain team.
Steve Heinrichs: The supply chain team has done a really great job managing that and reducing that. And we do think that the improvement in outsourcing costs is one of the main reasons for our gross margin improvement, and we expect that to continue going forward.
Unidentified Analyst: Maybe switching gears here, in the DAC, you highlight capacity for M&A and obviously, the balance sheet is in healthy shape. Can you maybe talk about how you think about management bandwidth for acquisition integration? Can you touch on the state of the current pipeline? And really what I'm getting at is how heavy handed are you having to manage the foundry transition at this point and how much free time do you have for the M&A pipeline at this point?
Martie Zakas: So look, overall, and we've certainly talked about M&A over the years and continuing to look for the opportunities where we can broaden or deepen our product lines, specifically within water and/or gas and/or related industries. I would say, let me start with the balance sheet and our capacity there. I think certainly the capital structure that we established a number of years ago certainly gives us flexibility as well as capacity. We talk about the overall capacity that we have, not only with the cash that we have on hand, but as well as additional liquidity that we have resulting from our asset based lending agreement. So I think from that perspective, we continue to believe that we are very well positioned. And from a management perspective, we continue to look for the opportunities that we think are going to be the right value enhancing opportunities for our shareholders. And I would say from a bandwidth perspective, the management team does have the capacity and interest and looking for and then ultimately when we find them delivering on those M&A opportunities.
Operator: Our next question comes from Joe Giordano with TD Cowen.
Unidentified Analyst: This is Zane on for Joe Giordano. Good morning. Just wanted to touch base on -- you mentioned you're expecting price benefits for 2024. Could you compare that against what you're seeing for inflation and what the differential looks like? And what you've been seeing for inflation recently, has it stayed at relatively high levels or is it continuing to normalize?
Steve Heinrichs: So we expect a more normalized seasonality for our business this year's lead times for the majority of our products have normalized. And in this normalized inflationary and pricing environment and typically announced price increases in the spring as we have done. Historically, average price realization has been in the low single digit range. And we're pleased with our price realization to this point, which reflects the strength of our commercial team and our customer relationships. We think there is a more stable inflationary environment this year with most of the inflationary pressures coming from higher labor rates. So we expect our price realization for the 2024 year to be in the low to mid single digit range. And this includes our recently announced price increases on majority of our iron specialty and gas products and some carryover pricing from prior periods. And as a reminder, we typically expect our price realization will continue to more than cover our ongoing inflationary pressures, including higher labor rates.
Unidentified Analyst: And just a separate question on your capital projects. Could you talk about the sequential spend across the year, is it expected to be more towards the back half and when you're thinking about them ramping down and moving towards a more normalized free cash flow?
Martie Zakas: So I want to be clear, your first question, I just want to make sure we heard it correctly. You wanted to talk about sort of the rate of capital expenditures through the year. I just want to make sure we heard it correctly.
Unidentified Analyst: Yes, that's correct.
Martie Zakas: So I think, first of all, overall looking at capital expenditures, our guidance for the full year is $45 million to $50 million. We were certainly light in the first quarter. And I think as we shared in some of our opening comments, lighter in the first quarter, some of it is comparative relative to the brass boundary expenditures that we had last year. We also did experience probably some short return delays that related to the cyber security incident. That said, we are still looking for our guidance in the 45 to 50 range. We have talked about overall level of capital expenditures. It has been in a higher level in recent years and that is because of the three large capital projects that have been underway. As we said, we are closing to the finish line in terms of those expenditures with the last being our brass foundry. Our expectations going forward are that capital expenditures will be less than 4% of net sales. So we do expect that we will continue to see the expenditure levels as a percent of our net sales to decline. That said, I will certainly remind you that we are by enlarge a vertically integrated manufacturing business. We do have three large foundries, because we are melting the iron for our hydrants, for our valves, our iron valve as well as for our service brass products. And so certainly we will always have a certain level of maintenance expenditures that we need to make as a result of the manufacturing processes and being vertically integrated.
Steve Heinrichs: And as it relates to the cash, we are obviously pleased with our strong first quarter operating cash flow, and it's obviously significantly higher than the prior period. This improvement was really due mostly to improvements in working capital management, a smaller increase in inventories, higher receivables collections and an increase in payables. As you heard in our prepared remarks, just a reminder here that there was a benefit in the first quarter from payables as a result of delays caused by the cybersecurity incident, which affected some of our systems. And we expect those benefits to reverse in our second quarter as our payable systems processes have now normalized. So we are pleased with that, the strong cash performance and I look forward to continuing that going forward.
Operator: [Operator Instructions] Our next question comes from Walt Liptak with Seaport Research.
Walt Liptak: I wanted to ask a follow-up to Deane's question about the outsourcing. And I want to make sure I heard this right. So the outsourcing, you've reduced sort of that parallel cost by, I think, you said 60% to 80%, is that right?
Martie Zakas: I said say probably, let's say, around 50%, maybe 50% to 60%. But I think with we have -- as we look to the margin improvement that we've seen, I think certainly one of the reasons for that and we talked about it I think last quarter talking about again this quarter, is as we have been able to reduce our outsourcing expenditures, which are contributing to the margin improvements.
Walt Liptak: And it sounds like some of the backlogs are down like 80%, so you've gotten through most of that pass through backlog. Do we see more of these outsourcing costs come out next quarter or do we wait until year end for that to wind down?
Martie Zakas: So first of all, I think of important question that you've -- or comment that you've made in and around backlog. So with respect to our short cycle backlog or the products that have a short cycle backlog, it's typically our iron gate valves, our fire hydrants and our service brass products. And when we look at our iron gate valves and we look at our fire hydrants, those two products, we would say when we look at lead times, we are really pretty much back to normal. And the elevated levels of backlog essentially are eliminated at this point. We still do have a higher than normal backlog level for our service brass products. We reduced that somewhat in the first quarter and we are working to continue to reduce those backlog levels to get to sort of the normalized short cycle backlogs as we work through the balance of our 2024. And we did make a meaningful improvement in that in our first quarter as well. The corollary question that you're asking in and around the outsourcing costs. I know in past calls we have commented that that has been one of the contributing factors to the higher cost levels that we have. And I think as we are improving the production levels at our new brass foundry, as well as with the less disruptions on the supply chain and importantly, the work of our supply chain team, we are continuing to see improvements with the outsourcing costs that we have had. We've seen some meaningful improvements there and I think we can continue to see more generally moving forward.
Walt Liptak: I just wanted to back up to the SG&A cost reduction that's been going on for the last couple of quarters. Are we done with the actions taken and are we seeing full benefits now from the SG&A cost cuts?
Steve Heinrichs: During the third quarter of last year, as you know, we restructured our sales and marketing organization and streamlined other areas of our organization to bring our business teams close to our customers. We took additional actions to streamline our other G&A expenses, including corporate, which includes some of the support function roles. And we are tracking to achieve the $25 million in SG&A savings that we highlighted previously and achieved a big chunk of those in 2023. As a reminder, we do see inflation in SG&A going forward and it's probably going to be in the range of around 5%. So when you start to compare prior periods, please realize that there is inflation in SG&A.
Walt Liptak: And then last one is just on the leadership transition. Is there anything that you can tell us, any timing as the search still going on or have things wrapped up?
Martie Zakas: So that we do not have any updates to share at this time. Our Board is focused both on the Board refreshment piece as well as the CEO search process. As they said, they have retained an executive search firm, they're considering both internal and external candidates, but they have not announced a timeline for this process. 
Operator: Our last question comes from Bryan Blair with Oppenheimer.
Bryan Blair: To drill down a little more on price cost trends, it's been favorable for a bit, you’d momentum there. However you want to parse out the price cost impact from fiscal 1Q and what is directly contemplated in guidance as of now?
Martie Zakas: Yes, let me try to hit on your question. So let me talk on price first. And some of this, I think, goes back over the cycle that we had just lived through and I think have gotten on the other side. With the extraordinary levels of inflation that we experienced largely starting in '22 and '23, the supply chain disruptions all of that. I know that, we talked for a while and I'm going back a few years now, I think, to give you the context. But we were, for a while, upside down with respect to the price inflationary costs and we implemented certainly a series of price increases. And as we stated throughout that time period, the objective was to recover, if you will, sort of the inflationary cost, get on the other side of that and then ultimately, continue to have the pricing more than covering the inflationary cost that we are experiencing. I think now we are in a more normalized inflationary and pricing environment. So we're sort of -- at this point we're beyond what we experienced. We did announce that we just put in a price increase for our iron, specialty and gas products. From an inflation perspective, we are probably seeing the most inflation with respect to labor costs as we look at that as a factor going on. But with more stability in the inflationary environment, we think that we can have -- as we look ahead at this point, we feel that the pricing that we are forecasting will more than cover what we could see with respect to inflation and importantly preserve margin.
Steve Heinrichs: And that is in our sales and EBITDA guidance and we do expect the improved manufacturing performance that's been demonstrated and the pricing. These are the inflation that Martie just referred to offset lower lines that we're also guiding to. So hopefully, that's helpful.
Bryan Blair: As a follow-up, you've called out that over time [IJA] spending should be the catalyst for your business. And there are a few areas in which that's identifiable, but likely fiscal '25 and beyond, and that's understood. There are some areas of spending front end kind of work where I suspect you are participating to some extent. What sticks out to me is Echologics with the pipe condition assessment work that you can do to help with LSL mapping and planning. Has that been a catalyst for Echologics to date or is that expected to ramp as that front end work intensifies?
Martie Zakas: I would say specifically with respect to Echologics, I can't tell you that the -- we haven't seen the infrastructure build be a catalyst for Echologics. And as we said, we really don't feel that from what we're seeing, we don't expect to see much impact from the infrastructure bill in 2024. And look, I think part of this is just appreciating that sometimes the devil is in the details on these items. And certainly, we are very positive on the bill long term. We love certainly the focus you see with the dollars that will be allocated to water infrastructure. But currently what is going through is just sort of the governmental process as you have to work through various government agencies, which not only include the EPA, they can include let's say DOT, HUD and others, just to put specification around the provisions that have to be met for projects that then receive the funding. So look, overall, we think it is going to be beneficial to us, but we just don't expect to see any meaningful impact in our fiscal '24. I will highlight that given the near term focus that the administration has certainly put on the lead and comparable and lead service line replacements that one of the products that we sell, the service brass products, are generally needed in conjunction with the lead service line replacement.
Steve Heinrichs: As part of the infrastructure bill, nearly $12 billion was deployed to that program and the inventory that the municipalities are required to complete is due with the -- well, really the start of our fiscal 2025 week day and at the end of this calendar '24. So those benefits will start coming in when those lines start getting replaced.
Martie Zakas: Yes, it's actually $15 billion, I think, it was the lead service line replacement, $12 billion in other areas of water infrastructure…
Steve Heinrichs: That's correct. And as you know [$55 billion] going into the industry is always good there.
Operator: And at this time, we have no further questions.
Martie Zakas: Well, thank you all again for joining us today. While we are very pleased with our first quarter, it's early in the year and there does remain a great deal of uncertainty in the external environment. But our team members have done exceptional work overcoming some of the recent external challenges, and I am really confident that we are better equipped to navigate any outside of our control. Mueller’s at an inflection point. We have made meaningful strategic investments and operational improvements to date. We are well positioned as we just discussed to benefit from the tailwinds for the increased investment in the water infrastructure, and we have the capability to help municipalities address their accelerating challenges. We are on a path to continue increasing our margins, improving our operational performance and enhancing the position that we have with our customers, suppliers and employees. We thank you for your continued interest in Mueller. Operator, with that we can conclude the call.
Operator: Thank you. That concludes today's conference. Thank you for participating. You may disconnect at this time.